Operator: Welcome to the Geospace Technologies Second Quarter 2021 Earnings Conference Call. Hosting the call today from Geospace is Mr. Rick Wheeler, President and Chief Executive Officer. He is joined by Robert Curda, the company's Chief Financial Officer and Mark Tinker, CEO of Geospace subsidiary Quantum Technology Services. Today's call is being recorded and will be available on the Geospace Technologies Investor Relations website following the call. At this time, all participants have been placed in a listen-only mode. And the floor will be open for your questions following the presentation.  And it is now my pleasure to turn the floor over to Rick Wheeler. Sir, you may begin.
Rick Wheeler: Thank you, Brittany. Good morning, and welcome to Geospace Technologies conference call for the second quarter of our 2021 fiscal year. I'm Rick Wheeler, the company's President and Chief Executive Officer and I'm joined by Robert Curda, the company's Chief Financial Officer and also with us this morning is Dr. Mark Tinker, CEO of our Quantum Technology Sciences subsidiary. I'll first give an overview of the second quarter and Robert will follow with an in-depth commentary on our financial performance. After a few last remarks, we'll open the line for questions that hopefully Robert, Mark and I can answer. Some of today's statements may be considered forward-looking as defined in the Private Securities Litigation Reform Act of 1995. This includes comments about product markets, revenue recognition, planned operations and capital expenditures. Such statements are based on our present awareness, while actual outcomes are affected by factors and uncertainties we cannot predict or control. Both known and unknown risks can lead to different performance or results from what we say or imply today. These risks and uncertainties include those discussed in our SEC Form 10-K and 10-Q filings. As a convenience, we will link a recording of this call on the Investor Relations page of our geospace.com website and I encourage everyone to visit and browse that site to learn more about Geospace and its products. Note, that the information discussed and recorded this morning is time-sensitive and may not be accurate at the time one listens to the replay. Yesterday, after the market closed, we released financial results for our second quarter of fiscal year 2021 which ended March 31, 2021. Just as the COVID-19 play worsened in some locations, while improving in others, our business segments reflected similar divergence in the second fiscal quarter. Yet, despite the challenges, the pandemic has thrust upon us. There are signs of recovery for the overall economy as well as the businesses we serve. In many places, COVID-19 restrictions are being lifted. Air travel is ramping up and businesses are reopening and returning to work. Nonetheless, the pandemic's severe impact is evidenced in the three and six month periods ended March 31, 2021. In our oil and gas market segment, gaps in demand for our OBX marine nodal systems continued through the second quarter. This led to much lower rental revenue throughout the first six months of the fiscal year compared to last year. Moreover, as earlier OBX rental contracts ran to completion, many of the planned contracts for follow-on work and new surveys could not be started due to COVID-19 lockdowns and travel restrictions. In constellation, we believe much of this work will resume as COVID-19 vaccines are broadly distributed and recovery from the pandemic gains momentum. Even now, request for quotes on future OBX system rentals have increased and some new contracts are already underway or about to begin.
Robert Curda: Thanks Rick and good morning. Before I begin, I'd like to remind everyone that we will not provide any specific revenue or earnings guidance during our call this morning. In yesterday's press release for our second quarter ended March 31st, 2021, we reported revenue of $23.9 million compared to last year's revenue of $25.9 million. The net loss for the quarter was $7.2 million or $0.53 per diluted share compared to last year's net loss of $3.8 million or $0.28 per diluted share. For the six months ended March 31st, 2021, we reported revenue of $52.3 million compared to revenue of $43.6 million last year. Our net loss for the six-month period was $8.2 million or $0.61 per diluted share compared to last year's net loss of $13.1 million or $0.97 per diluted share. Our oil and gas market's revenue is as follows. Our traditional seismic product revenue for the second quarter was $789,000, a decrease of 61% compared to revenue of $2 million last year. Revenue for the six months of 2021 was $1.8 million a decrease of 59% compared to revenue of $4.4 million for the same prior year period. The reduction of revenue in both comparable periods is due to lower demand for traditional sensor products and marine seismic products. Our wireless product revenue for the quarter was $14.8 million, a decrease of 8% compared to revenue of $16.1 million last year. Wireless product revenues for the six months was $26.5 million, an increase of 6% compared to revenue of $25 million for the same period last fiscal year. The three and six-month periods both benefited from the recognition of $12.5 million in revenue from the sale of land wireless system delivered to our customer in the second quarter of fiscal year 2020. Excluding this sale, revenue from wireless products for the three and six months periods was $2.3 million and $14 million, an 85% and 44% decrease in revenue for the same periods of fiscal year 2020. The six-month period is partially offset by the sale by the $9.9 million sale of used OBX rental equipment. The decrease in revenue as a result of selling a portion of our OBX rental fleet and lower utilization of the remaining OBX rental fleet caused by COVID-19 related lockdown and travel restrictions globally.
Rick Wheeler: Thank you, Robert. COVID-19 has not yet gone away. But fortunately nor has or resolved to overcome the challenges it created. Many people continue to be impacted, but release seems to be insight especially as vaccines are more broadly distributed throughout the world. In parts of the US, more than 40% of the population has been fully vaccinated and in some countries even higher rates have been achieved. As economic conditions improve, the engines of commerce everywhere will accelerate. We firmly believe this will translate into higher demand for our products and services including a further upward climb for those products that has seen growing demand despite the pandemic. In the broader landscape, the world will need energy to fuel its rebounding economies. And it will need even more energy to raise the quality of life for those portions of society continuing their journey out of poverty toward a higher standard of living. Must be remembered that oil and gas will remain the primary means of supplying this energy for some time to come.
Operator: The floor is now open for questions.  We will take our first question from Bill Dezellem with Tieton Capital. Your line is now open.
Bill Dezellem: Good morning and thank you. Let's start, if we could with OBX and your comments inferred that you're starting to see some green shoots once again in that segment. So the question is, when do you expect the OBX rentals to return to the prior peak quarterly run rate levels?
Rick Wheeler: That's a very good question Bill and thanks for calling in. I don't know that we could actually go so far as to say they'll reach prior levels that they were. I mean that remains to be seen. I certainly think the opportunity is there for that to occur. But as far as the green shoots, we are already seeing that. We have contracts that are underway now, new contracts and ones that are about to begin. And we're certainly answering quotes for those that some of them even extending into the next fiscal year. So, I mean it's a good question, but I don't really have an answer for you. I think this is going to be contingent on how the recovery takes place and how these projects get scheduled. There's certainly been some disruptions actually within the actual service providers as it were, so some of that has to get sorted out as well.
Bill Dezellem: Is it your sense that from this point forward that at least for the foreseeable future you will have sequential increases in revenue from the OBX rentals?
Rick Wheeler: I think that we believe the demand is going to increase. So to what extent that would lead to in your mind sequential increases in revenue then there is certainly likelihood that's the way it will manifest.
Bill Dezellem: Great. Understood. OKya. Thank you. Let me shift to PRM and then we can make sure that Mark has an opportunity to participate too. So relative to the -- I'm going to call it a no-bid tender, the tender that was out and that you chose not to bid on. Would you please give us an update on that? And is it still the PRM system that is number one I guess in the lead in terms of potential opportunities.
Rick Wheeler: Discussions with that company are ongoing and continuing. There are other oil companies that we are also talking to. So, which one would manifest first I really couldn't say because the -- this interest is pervasive. And I think all companies are realizing that to maximize these resources which they've already learned to do, the PRM is again going to continue to provide a good way of doing that. That being said, I can't tell you which of those companies that we're currently in discussions with would manifest into a first system. But we think, we can accommodate any and all of them as they would come on board. As we said, we don't expect any of that to translate into any sort of revenue in this fiscal year certainly. But nonetheless discussions keep going. 
Bill Dezellem: But let me take to say a step further. Your comments just in answering the question seemed more favorable than maybe what we've heard in the past and certainly more favorable that if someone were new to the company and heard that you hadn't sold the system since 2012. It sounds like something different is unfolding. Would you maybe expand upon that or just correct me, if I'm wrong? 
Rick Wheeler: No, I think things are unfolding differently and it's certainly with more interest that's being expressed. If you think about it, the oil companies their reactions have had to deal with destruction of demand in the last year. So, the focus on oil companies has been how to navigate that particular circumstance. And with economy shutting down air travel just demand in general. What they're now grappling with is, the recovery and the demands that that will now place on their existing resources. They've already learned that there is a lot of success gained and being able to leverage existing resources OBX is a part of that as they are exploring and examining reservoirs near their existing platforms and infrastructure. And to this extent as I've mentioned before, there is an interest now extending into the deepwater as we have a lot of OBX our deepwater version of that product in play. So I'd certainly believe that with that new focus on being able to adjust to an increasing demand I think that brings new attention to PRM especially in light of maximizing their existing resources. 
Bill Dezellem: Rick I'm going to -- one more question please and this is from a point of ignorance. If an oil company were to install a PRM system and on a -- around a platform that they otherwise would use OBX to do a shoot to identify new reserves. Would they be able to use the PRM instead? And I'm asking the question because I think of PRM as more that the whole 4D being able to watch over time. But it seems like maybe it would also be able to do the work of what the OBX would otherwise be doing with this initial shoot also? 
Rick Wheeler: No, I think your original perspective is actually the more correct one. The PRM systems, generally speaking are located above a reservoir. They can be quite large as you well imagine. But the OBX, it's more utilized in examining nearby potential resources. So, where there is a reservoir oftentimes there are other reservoirs that are very near that one. So, to that extent, I think the OBX is extending beyond the imaging the capability of the PRM systems. To some extent they can see out and beyond the geologies that they're send it over. But for the most part that requires the additional exploration effort. 
Bill Dezellem: Let's switch to Quantum and Border Security please. Mark, I have a few questions. But how about if we just start with having you give us an update in terms of what you are seeing and where -- maybe let's just start there just with an update and just kind of open it up for us if you would please?
Mark Tinker: No. I've never known you to ask such a specific question before. I'd be delighted too. The update is contract performance is going very well on the revenue that everyone is aware of. I'm very, very, very pleased with what we have been able to accomplish from the architecture design and manufacturing and the deployment of our system. It's one in the client system and we now have it in the ground in operational and we're now being able to reference that system in going forward. So, as we look to the future we're going to see where we are going to be able to apply its capabilities for other customers who are interested in similar solutions of such a scale. It's kind of like a PRM type of model. We expected with more frequency, but where we are looking at larger scale opportunity so quarters will bounce around on the low end and then we'll have a big quarter like we did last one. So, I'm pretty pleased with where we're sitting right now and the fact that we can go forward and use it as a reference system. 
Bill Dezellem: And in Robert's opening remarks he referenced to that the system should be completed this year. My sense was that, it would have been done would have been done by the end of March. Was there something that extended or did I just misinterpret the opening remarks? 
Mark Tinker: Both of you are right. To be honest the systems in the ground doing its job. There is, just nuances on the end of the contract that we have to tie up. And right now, we have a COVID scenario and we have any immigration scenario that is taking our customers resources. So, there's a few loose ends that we clean up contracts that's always part of the contract. And we're just going to put those off for about a month or so but it's nothing that's any substantial nature. 
Bill Dezellem: Understood. So, I'm going to ask you to characterize what disruption, if any, you have experienced from the administration transitioning and I'm not trying to get you to bash the administration. I think there is disruption. It takes place anytime that there is administration change. But hoping that you can characterize it and to what degree it's creating challenges and or opportunities for Quantum? 
Mark Tinker: I don't think the landscape has changed from our perspective around the administration change. It's the Border Patrol remains the Border Patrol under customs and border protection within the Department of Homeland Security. And whether you're under the prior administration or this one, putting people in place of stability is the biggest factor and that is happening and I wouldn't label it as a boundary between prior and now, overall what's happened with not with so much administration. But what we see on the hill remains also the same, which is we have bipartisan support for the types of capabilities that we provide because we are doing a job that is a security function and so it enjoys that bipartisan support and that hasn't changed either. 
Rick Wheeler: I think also Bill, it's important to sort of make everyone aware that we're not building or we're not a part of building a wall or any of that sort of thing. So I mean, clearly there has been a withdrawal of funds and other work and effort towards it and where that goes who knows? That's something that I guess will unfold over the course of time. But that's not what we were involved in or are involved in.  Our technology is advanced in a different way. And if you make if you'll remember even in Biden's recent address to Congress, he mentioned the fact that even his administration is interested in deploying technology solutions on the border for our security. So that's the area that we really sponsor and employee ourselves doing. 
Bill Dezellem: Great. That’s helpful. And the SBIR Phase three approval that you have, does this apply to government contractors or is it just the border patrol? And I'm asking this a question in the spirit of a prior conference call you had referenced some interaction with contractors. 
Mark Tinker: It does not -- is not bound to Homeland Security at all it goes across the federal space. 
Bill Dezellem: And would that include when working with other with a government contractor or would you really need to be operating under whatever level that they have? 
Mark Tinker: No, it is not bound by whether we are the prime or the sub. We can still receive a sole source for the procurement of our systems. 
Bill Dezellem: That is helpful. And then you may have kind of partially answered this question earlier. But I have been pondering why a sector of the border patrol wouldn't just on their own order a additional equipment to deploy in areas that they see that are high risk rather than coming from the -- I guess I'll say from corporate for lack of a better phrase because I thought the SBIR Phase three would allow for any sector to do such a thing. Would you talk to that point and how you are viewing that? 
Mark Tinker: Well, remember the Headwaters for funding within the Government start on the hill where they're authorized and appropriated by Congress. And then as they trickle down into the various departments each department does it somewhat differently. Homeland Security has more open buckets, if you will for funds whereas the Department of Defense is far more site.  So it remains in DC at that level within the Border Patrol. And that's how they then choose to go forward with where they deploy because they view the all borders its not just seven quarters holistically to decide where best to apply those resources. 
Bill Dezellem: Great. Thank you all for taking so many questions.
Rick Wheeler: You're welcome.
Operator:  And it appears -- I apologize. We do have a question from Glenn Kukla with Kukla Capital.
Glenn Kukla: Hi, guys. Good morning. 
Rick Wheeler: Hi, Glenn.
Glenn Kukla: I wanted to dive into a couple of topics. First of all, please again that the cash is ever growing, it's great for the balance sheet using its repurchased stock gives us a lot of confidence. I want to ask about the GCL contract that seems to be performing well. What do you think would trigger reclassifying that from deferred revenue to another line item on the balance sheet such as unrestricted cash et cetera? 
Robert Curda: We actually recognized that sale in this quarter. So we no longer have that recorded as deferred revenue it's actually revenue now. 
Glenn Kukla: Okay.
Rick Wheeler: And I mean as it was the entire story, I mean there was a case where through the public financial statements of SA Exploration, they had in times past indicated in their filings that they were under risk if not have not remaining a going concern, so that sale was to them prior to that following -- that filing. And that prompted us that we needed to hold that as a reserve on revenue. So that's what ended up putting it on our balance sheet over the course of time.  But since then they've gone through a bankruptcy emerged from that bankruptcy and more recently, we've gotten audited financial statements. All of which indicated that as we've mentioned in the press release that probability of full payment on this is high. So it make sense to go ahead and recognize that revenue now that they've emerged. 
Glenn Kukla: Great. I appreciate your conservative classification of that in prior quarters and appreciate your instincts on their viability as eventually coming through to pay that it's great to see. Did that -- did those payments once they were reclassified from deferred did they flow through and add to the unrestricted cash number? 
Robert Curda: I think they were already in the cash statement on the balance sheet. 
Rick Wheeler: Yes. That's correct. 
Glenn Kukla: Okay. Great. Moving on to other sales like that. Do you expect -- so you had a good OBX sale, you had a good this GSL sale? Do you expect more like that consistently, or do you think it'll be more of a lumpy pipeline in the next couple of years?
Rick Wheeler: Glenn it's going to be lumpy, it always really has. So I think your instinct on that is accurate that's how it's likely going to manifest in the course of time.
Glenn Kukla: Okay, great. And flipping over to a new investment Robert. Could you repeat having quite high of the amount you expecting to the project and invest in new equipment and PP&E?
Robert Curda: Yeah. So we think we could invest as much as $3 million towards plant property and equipment. We've already put almost $2 million towards that this fiscal year. And then on our rental fleet depending on what kind of demand we see throughout the rest of the year we expect to spend as much as $2 million. That could change though depending on if things that we don't have visibility to today come up.
Glenn Kukla: Great. That -- it's encouraging that may portend some of the green shoots that Bill Dezellem was asking about. To me that's a sign that you're expecting some activity there. Of course can commence because we don't know but encouraging.
Rick Wheeler: It is encouraging.
Glenn Kukla: So to dovetail of that, if there is no significant PRM award in the next couple of years. If that doesn't contribute, what do you think and you can speak in very general terms and not looking for specific guidance. But what segment or sub-segment, do you think would then be the best contributor to top line and bottom line?
Rick Wheeler: Well, I think yeah our wireless portion of the oil and gas markets has historically been the other main producer and I suspect that will remain to be the case. There's traditional products, which typically or the sensors and that sort of thing. Those manifested consumable items as exploration takes place primarily on land. Land exploration is still very much in a depressed state compared to prior norms. So we don't have evidence that that's going to change right away. But to what extent it does, we believe our GCL, which is a part of our wireless product line within the oil and gas, we believe that would be one that would continue to contribute because it's an easier deployment, less weight, all that it just makes the seismic survey capabilities easier.
Robert Curda: I mean further to Rick's comments though in the land seismic world there is a huge amount of stacked equipment that our customers have. So recovery it would take a lot of recovery for us to see anything significant within that line of products.
Rick Wheeler: Yeah, the one thing that might accelerate some of that to Robert's point is with this stacked equipment much of it is older legacy type equipment not all of it but some of it is. And to the extent that those are much less efficient and costly to operate than the newer technologies such as we offer today then they may be abandoned in some sense. So we'll just have to see how that turns out.
Glenn Kukla: Okay, great. Thanks for the color on that. One last question flipping back to PRM. Just in general, can you walk us through the lag between if you're -- it just like did get an award what is typically the lag between the award and when the first chunk of revenue gets recognized?
Robert Curda: Typically that depends a lot on the size of the contract, the amount of cable we're providing that has a big factor in that. It also it could have some factors based upon weather windows and where this equipment needs to be installed that could affect when that happens. Typically it could be as long as six months out or up to a year or even more.
Rick Wheeler: It also amounts to sifting through all the revenue recognition rules of accounting. It doesn't necessarily -- which do not necessarily represent cash flow as those types of contracts manifest.
Glenn Kukla: Fair enough. Great. Carbon sequestration is and I know Dr. Tinker has -- I've heard excitement in his voice on some past calls. But do we see that as anything that might occur in business or has there been any interest in that or is that just more of a way long-term opportunity?
Rick Wheeler: No it definitely has potential as future business. It is a rather infant market with respect to how that might manifest. I think most focus these days is on the actual capture and storage aspects where we would fit in mostly is in the monitoring aspects of reservoir. But keep in mind too that PRM systems really fall into utilization of carbon capture because oftentimes they inject CO2, flood these reservoirs with CO2 enhance their oil recovery. And they learned where and how to do that oftentimes by monitoring the reservoir and its changes with the PRM. So the PRM actually becomes a carbon sequestration management tool in those situations where they are actually using CO2 for that enhanced oil recovery.
Glenn Kukla: Great. Well, Rick that sounds like also good sales pitch to coach your sales team with I think I’m believer.
Rick Wheeler: Well, it's all true. 
Glenn Kukla: Great. That’s all I have for today. You guys take care.
Robert Curda: Thank you.
Rick Wheeler: All right. Thank you Glenn.
Operator: And we have no further questions at this time. I will turn the floor back over to Rick Wheeler for any additional or closing remarks.
Rick Wheeler: All right. Well, thank you Brittany. And I'd like to thank everybody that joined our call today. And we'll look forward to speaking with you again on our conference call for the third quarter of fiscal year 2021, which will occur in August. So thanks and goodbye.